Operator: Good morning. At this time, I would like to welcome everyone for the America Movil Second Quarter 2011 Conference Call. Now I’d like to turn the call over to Mr. Michel Morin. Mr. Morin, you may begin your conference.
Michel Morin: Thank you, Nateda. Good morning, everyone. On behalf of Morgan Stanley, I’d like to welcome everyone to America Movil’s second quarter results call. Today on the line with us, we have Daniel Hajj, the CEO; Carlos Garcia Moreno, CFO; Oscar Von Hauske, the Wireline COO; and Daniela Lecuona, Investor Relations Officer. So without further ado, let me turn it over to Daniel.
Daniel Hajj Aboumrad: Thank you, Michel. Thank you. Welcome everybody. Carlos is going to make the summary of the second quarter results.
Carlos José García Moreno Elizondo: Hello, good morning everyone. Thank you Michel for hosting the call. Well, we added in the second quarter – I mean, we added 5.1 million wireless subscribers. That was unfortunately half what we’ve done in quarter, we gained in the first half of the year. In June, we took over 6 million wireless hubs. On the fixed line side, we increased by 1.4 million our revenue generating unit to 54 million with safety results growing 34% year-on-year. Altogether, we had 290 million accesses at the end of June, 12.1% more than a year before. The growth of fixed line accesses has accelerated on the back of bundled offerings, double play and triple play that are becoming increasingly popular. Year-on-year, fixed line accesses increased nearly 14%. Revenue grew 7.8% from the year earlier quarter to 150 million pesos. Mobile revenue expanded 9.4% to 101 billion pesos whereas fixed line revenues increased 5.2% to 58 billion pesos swept along by PayTV revenues that expanded 71% year-on-year. So, total revenues then accelerated from a bit more than 6% the prior year quarter to 7.8 percentage point this quarter. Mobile revenues were driven by data revenues that increased 26.7%. Their overall expansion, already will select the impact of 71% effective reduction in mobile termination rates that took place in Mexico. From May 17th, all operators have terminated call – on the call center sales network, beyond the interconnection charges at the reduced termination rates by Cofetel, which are equivalent to $2.2 or 1.65 euros. In example, including Mexico and three European countries, this interconnection rate was the second lowest with 35% penetration rates substantially higher in euro. Their sales net interconnection revenues came down by almost 4% at this point revenue from the prior year. Growth interconnection revenues came down by 50.2% in absolute terms and by 5.1% revenues. Several of our operations registered double-digit revenue growth in the second quarter. In Mexico, Central America and the Caribbean, revenue growth was more subdued, in Europe 2% because of the continued decline of fixed line voice revenues and the reduction in mobile and fixed line termination rates in Mexico. In Brazil annual revenue growth accelerated from 5.7% in the first quarter to 8.8% in the second quarter. EBITDA totaled 62 billion pesos and was up 1.8% year-on-year, would be merging up our Mexican operations falling 3.4% percentage points, the loss of net interconnection revenues for Mexico and wide increase on wireless platform. Greater expenses for customer care, the procurement of content, subscriber growth basically subscriber acquisition cost. Various operations particularly in South America posted better EBITDA margin than the prior year. 20% year-on-year and contributed 14% increase in net profit. Earnings per share were up 16% competitive terms and 34% per ADR. Our net debt rose 217 billion pesos in June from 207 in December to help fund 37 billion pesos in capital outlays and dividends. Capital expenditures made up 41 billion pesos of that amount, and share buyback nearly 30 billion pesos with 2 billion pesos going to the acquisition of minority interest in Net Serviços and Telint International. Net debt stood at 0.87 times, our EBITDA below 12 months. So with this summary, Michel I would like to turn the floor back to you.
Michel Morin: Great, thanks Carlos. Nateda, can you please give the instructions for Q&A.
Operator: (Operator Instructions)
Michel Morin: Now, while we pull for questions, Carlos if I can jump in and ask the first question. Regarding the termination rates in Mexico, the new rates went into effect on May 17. So I just want to confirm perhaps the state, the obvious but the impact on results that we saw this quarter was really only impacting in the second half of the quarter. So if we were to look at ARPU trends on a sequential basis, is it fair to say that we should anticipate a similar impact in the third quarter when the rates will be at the lower level for the entire quarter?
Carlos José García Moreno Elizondo: Yes, Michel. We are just – the interconnection rates which we reduce that through May 16, so it was exactly half of the second quarter. So you are going to see the same trends in the third quarter. Of course it’s going to depend a lot on the traffic, but I think we are going to see the same trends in the third quarter.
Michel Morin: And are there any signs that these lower rates are being passed on to – to the final customers, and if so maybe still too early, but are there any early signs that demand is picking up in relation to the elasticity that we might be able to see there?
Carlos José García Moreno Elizondo: I don’t think there is going to be a lot of the electricity, because we have been reducing the rates every year. So we’re not seeing a big elasticity there, but I don’t – I don’t know exactly what those, the big lines are going to do. I think they are still not reducing the rates to the end customer. But I’m sure that they are going to do that in the near future. So I don’t know if they are going to do it in the third quarter, in the second quarter, in the fourth quarter or they’re going to do it totally or they’re going to reduce a little bit less or a little bit more, I don’t know, because there is a lot of competition in the – in the peaks in Mexico and that there is addition, but I’m sure that they are going to – at the end of the day, we’re going to see reductions to the customers.
Michel Morin: Great, thank you very much. Nateda, we can open it up to the Q&A roster.
Operator: Yes sir, and your next question – I’m sorry your first question from the line of Rick Ric Prentiss with Raymond James.
Ric Prentiss – Raymond James: Thank you. Following up on mobile termination rates, I think didn’t Cofetel make it retroactive to January 1, and is there any possibility you might have to retroactively reduce rates. And then maybe if you could update us as far as what you’re seeing as far as mobile termination rate changes in Brazil, as far as the timing, magnitude or what it might mean to you?
Carlos José García Moreno Elizondo: We have a contract with some of the operators that will make Telephonica users, Telint Telephonica North (ph) has a contract, so that’s why we are putting these interconnection rates through May 16, they are the ones, all the others operators, we don’t have a contract, they don’t sign a contract since January. So we have retracted through January, but we have been put that in the first quarter, so the operators where we don’t have any contract, we have been putting the interconnection through January and for that the – we already provision that in the first quarter, but that’s mainly 10% or 15% of everything. So 85% was in the contract and starting May 16. In Brazil, well in Brazil the interconnection rate is I think it’s going to move, but I think that the government is going to, I don’t know exactly what they are going to decide, but I don’t think they’re going to make 70% or 71% reduction on interconnection. I think what they are thinking to do is to have a reduction through the years, and that will help to increase penetration in Brazil. So that’s my view, that’s what the government has been saying. Maybe they are not going to reduce 10% per year, maybe they’re going to reduce 20% per year. But that’s the way I think they’re going to do it.
Ric Prentiss – Raymond James: Great, thank you.
Operator: You are next question is from the line of Andrew Campbell with Credit Suisse.
Andrew Campbell – Credit Suisse: Yes, good morning. My question is on the competitive environment in Mexico, and it seems that you’ve been unveiling some new plans, bucket plans that include calls outgoing to other mobile carriers as well, and I was wondering how you see this changing the competitive environment, and how this fits in with the new reality, with the mobile termination rates?
Carlos José García Moreno Elizondo: Well, I think there is a new plan, there is new plans not from us, from all the operators. So there is a lot of competition in Mexico. And I don’t see any big change as to all these bucket plans to all customers, I don’t think you’re going to see big changes in the way customers are calling on the – or the way they decide their call. So in my view, there is not going to be a big change in demand or in ARPU because this new bucket plans that we’re having. The only difference is that, we’re not differentiating the Telcel to Telcel and Telcel to other customers. So that’s also what other operators are doing here in Mexico, and I don’t think there is an issue or a big difference that you’re going to see there.
Andrew Campbell – Credit Suisse: Okay, thank you. And just my follow-up would be, I mean in terms of...
Carlos José García Moreno Elizondo: Andrew, it’s only to explain to you, we’ve done that in Colombia. In Colombia, the government ask us to reduce the difference between on net, the off net and we have been doing that for maybe two years, and we haven’t seen any big change in that. So, that’s why I am thinking that you are not going to see big changes also in Mexico.
Andrew Campbell – Credit Suisse: I see. And do you think that possibly you will be asked by the regular to do the same thing in Mexico?
Carlos José García Moreno Elizondo: I don’t know, it maybe yes, we are doing that, so if the regulator asks us to do that, but we are doing that already. So, but I don’t think that’s going to be something that we’ll – that we will be worried about in Telcel now.
Andrew Campbell – Credit Suisse: Okay. Thank you.
Carlos José García Moreno Elizondo: We have good customers, we have in postpaid. We have good coverage, we have – I think the fundamentals are very important for us in Mexico. We have a very good distribution network, we have very good coverage. We have a lot of capacities, we’re investing a lot, so we have a good branding. So we’d be matching the customer care centers, we have around 300 customers own care centers. So all of these things are the things that really count in Mexico. We have been doing that for around 12 years. So I think we have the big and the good fundamentals in Mexico in place.
Andrew Campbell – Credit Suisse: Thank you very much.
Carlos José García Moreno Elizondo: Thank you.
Operator: Your next question is from the line of James Breen with William Blair.
James Breen – William Blair: Thank you. Just one of you talk about data trends. I guess quite more specifically in Mexico and Brazil. Are you seeing cheaper handsets come to the market in the smartphone side that you think might help us increase overall data ARPUs, and just talk about some of the trends you’re seeing there as I shift from text messaging to more Internet type data?
Carlos José García Moreno Elizondo: I think it’s going to be very important for Latin America to have cheaper handsets. The cheaper smartphone handsets, I think everybody is going to use at the end of the day – Internet and they’re going to use data. So we start maybe two years ago with $500 handsets, we have today $200 handsets with a very good software included, the La Polar, Android or BlackBerry or but we have much better handsets today, and that’s going to make customers to use more data in the future. All the trends in Latin America you could see that we’re growing around more than 25% in data, and I think all the investments to do that you need to have a backhaul, backbone and a lot of investments that you need to do, and that’s what we are investing and that’s what we’re doing. So I think, we expect good increase in data usage in the future in Latin America. We still have a very small amount of customers with smartphone, so as the smartphones go reduce the price, that we have better prices in the smartphones, then you’re going to see more customers with the smartphones and more customers using data.
James Breen – William Blair: Great, thank you.
Operator: Your next question is from the line of Chris King with Stifel Nicolaus.
Christopher King – Stifel Nicolaus: Good morning, and thank you. Two quick questions for you. First of all just to follow up on all of the questions regarding the regulatory environment in Mexico, we noticed in interview last week where the head of the Cofetel was talking about the possibility, or perhaps implementing price floors for Telcel to try to manage the market share that you guys have there a little bit. I’m just wondering what your thoughts were on that and whether you’ve had any formal conversations with the regulators on that, and then secondly just on Brazil, I just was wondering if you could talk a little bit about the subscriber trends that you’re seeing there. We noticed that minutes of use as well as ARPUs were – have now fallen about 10% or so both year-over-year with the churn ticking up little bit. Just was wondering if that was more of a competitive pressure that you’re seeing or whether you’re seeing any signs of more kind of macro pressures beginning to weigh on the Brazilian consumer a little bit?
Daniel Hajj Aboumrad: Well, in Mexico I don’t see those that – what the President of Cofetel – the interview of the President of Cofetel. What I can tell you in Mexico is that, my market share is the total investments that we are doing, all the distribution I think we have a lot of rural areas where the only operator is Telcel. So I don’t think that the regulator is going to put us a floor in place. So I think what the regulators are trying to do is to have a benefit for the customers, a benefit for the competitors. And if we are going to benefit the customers, we’d cover us good quality, good data but I don’t think they should put like a floor in prices. What they’re doing is, they’re hurting the customer, and I don’t see any place in the world where they want to hurt the customer. And the other thing is, let’s see what all the competitors are doing, no, because I don’t think they can do in two days what we have been doing in 10 years, no? So it’s going to be a direct thing, I’m going to read that interview to understand what he’s talking about, no? I mean, in Brazil, well, I think well Carlos can talk a little in Brazil?
Carlos José García Moreno Elizondo: Well, as I mentioned in the – at the beginning of the call, revenues in Brazil have accelerated from 5.7% in the first quarter to 8.8% in the second quarter. And for us, we’re not looking very much at this revenue, I mean that this is net of commissions paid to distributors. That’s the way how we have been booking our revenues. And so even after developing the commissions or the growth of or paid to distributors which have been much more calculated given that we are going a lot on postpaid. And postpaid overly requires the payment of sales commissions and generally some prior acquisition cost. In spite of that I think that we are seeing at least healthy revenue growth. I think both on the mobile and the fixed line side.
James Breen – William Blair: Thank you.
Carlos José García Moreno Elizondo: Thank you.
Operator: Your next question is from the line of Tomás Lajous with UBS.
Tomás Lajous – UBS: Hi, thank you. Thank you very much for the call. I guess the question is dynamic. Carlos, you’ve talked in the past about keeping the Mexico margin about 50%. We’re seeing it getting very close to 50%. Would you – would you still – their outlook still for an above 50% margin in Mexico? And maybe it will be the first question. The second question is a bit more general. We’re seeing a little bit of growth come back , Carlos you mentioned it in the case of Brazil, overall we’re seeing an acceleration of revenue growth over the past few quarters. Would you say that you’re comfortable sacrificing margins a little bit for more growth or are you going to get back towards a real cost control phase and trying to keep the margins up? What’s going to be the focus, growth or margins over the next few quarters I guess?
Carlos José García Moreno Elizondo: First, when we talk about the 50% margin in Mexico, I think we are more or less in the 50% margin. In Mexico, we don’t think that the regulator was going to reduce the termination rate 70% – 70 something percent in one day, you know I think that for the telecommunications to Mexico not for us only it’s going to hurt all the telecommunications – all the telecom operators in Mexico. I think that there is still a lot of investments that you need to do in Mexico, and I think for the penetration, it’s not so good, because then there is a lot of people that they only think that they do is receiving calls in the rural area. So that’s very best for them, because and I don’t think that’s going to be a good business for the operators to invest in the rural areas as to when the interconnection rate goes down from 80 something – 0.85 peso to maybe 0.28 pesos because of the billing change between minutes and seconds. So they thought it’s around 70 something percent of reduction. I’m still thinking to be very close to the 50% margin, I hope we can be above the 50% margin, but going to your second question, I think we’re going to privilege more the growth than the EBITDA, but we’re going to be very careful on the EBITDA, as we have been always careful on the EBITDA. But I think, what we need to do is to take the advantage of the growth in Latin America. So we cannot stop growing on the – let’s say in Brazil only to have better EBITDA, no, I think the next two years in Brazil are going to be excellent years for growth on still on wireless, on data, on TV, on broadband. So there is a lot of markets where you’re going to see very good growth in the next years, and I think what we’re going to do is to go for it, and also in an intelligent way, the way we’ve been doing for the last years, what I think is very important to still be very – that’s why we’re doing all the investments that we’re doing all the CapEx is to sustain all these big growth on data that it’s going to come. And we’re growing a lot also on postpaid subscribers, you could see that in every country our postpaid subscribers have been growing a lot. So we are being very focused on our strategy, and that’s what we’re going to maintain.
Tomás Lajous – UBS: Okay. Thank you and then just one thing, I mean you said that the termination rate cut hurts the industry overall, do you think there is a possibility that termination rate goes back up in 2012?
Carlos José García Moreno Elizondo: That’s something that we have to ask to the regulators, I don’t think they are going to reduce the interconnection and then increase the interconnection, so it doesn’t look, it doesn’t make sense for me that they reduced 70 something percent, and then they increase it. What I can see is that, I hope that there is not going to be any more reductions on interconnection rates in the future though for some years.
Tomás Lajous – UBS: Okay, thank you very much.
Carlos José García Moreno Elizondo: Thank you.
Operator: Your next question is from the line of Richard Dineen with HSBC.
Sean Glickenhaus – HSBC: Hi, everyone. Hi, this is Sean Glickenhaus actually calling for Richard. Just a little more detail on the Brazil data. It looks like data revenue in Brazil, they were up 16.5%, it does look like they had decelerated quite a bit from the prior quarter, especially if you look at these numbers compared to competitors. Is there some type of trends where you vitalize this, you obviously sound very positive or optimistic on that segment, but is there anything in particular other than increasing focus on postpaid subs as you’ve been doing. Anything that you’re doing to revitalize data in Brazil? And then I have one question on your guidance. Thanks.
Carlos José García Moreno Elizondo: Yes, on data what we need to do is to put more coverage in other cities to try to serve more, the PC cards and broadband, wireless broadband. It’s what we’re doing, it’s part of our investments in Brazil is to do, let’s say Fiber-to-the-Node where you can do a lot more data in the wireless broadband. So we are being focusing on that. There is a time to do the investments, but of course we are really interested in giving more data to the customers, our own customers such as smartphones to get new customers with the smartphones plus data and the PC cards, the broadband wireless access. So we are being focused on that. We have to do the investments. I think Brazil is huge and big and the investments took a little bit uptime, but we are focusing on that.
Sean Glickenhaus – HSBC: That’s actually very helpful. Thank you. Just one question on your guidance that you offered at the Investor Day of 7% to 9% EBITDA, five year CAGR, knowing what you do now in terms of the Internet connect rate in Mexico, is that 7% to 9% growth kind of on the aggressive side?
Daniel Hajj Aboumrad: I think that’s too early to say. I think that if you look at revenue growth, we are right on track. On the – that we mentioned, secondly on the – in the short-term we have had some unexpected impact on the – on EBITDA. But I think that some of them may be reverted. For instance, if you look at fixed line revenues in Mexico that has been declined in past, they seem to be this decline seems to be becoming less important. I think that we – if they were falling at about 5% rate in the first quarter, by the second quarter it’s only about 3.5% year-on-year. So to the extent that they are probably like – that could have a fairly immediate impact on EBITDA, because that have been an important level of EBITDA growth, or I’ll make a more. So I think that, if we look at some of the things like again the overall situation of the fixed line operations in Mexico and Central America, if you look – if we look at the effect of net interconnection rates not doing much bigger than the growth and it has been in the second quarter, if that’s the case, I think I think that we can still meet our EBITDA target. We mentioned here in the – at the beginning of the call – there’s several operations that are expanding margin – the margins, the EBITDA margins today. Okay. And there is some of them because EBITDA margins have been a bit more subdued, because we have seen an acceleration of subscriber growth. So again, I think that for the timeframe that we look at, which was basically four years, it is too early to say that the number that we saw in the Investor Day are not valid. I think that we are delivering revenue growth and I think that EBITDA growth should follow. We’re delivering revenue growth, we’re delivering subscriber growth and we think EBITDA growth will follow.
Carlos José García Moreno Elizondo: And one more thing on the interconnection rate in Mexico. I think we are applying that rate, but it is on the profit. We are appealing that and we’re going to fight that in court. So I’m not saying that we’re going to win, but that we’re going to fight and we’re going to see what will the court decide on that. So we are very being very conservative, putting all the interconnection in the results. But all these interconnections is under process and we are going to appeal that in the court.
Sean Glickenhaus – HSBC: Great, thank you very much.
Operator: Your next question is from the line of Gray Powell from Wells Fargo.
Gray Powell – Wells Fargo: Good morning. Thanks for taking the question. I just had a couple of quick ones. Not to keep focus in – on Mexico, but can you just tell us how much of this sequential decline in Mexican ARPU was related to the termination rate reduction?
Carlos José García Moreno Elizondo: Just – not to look at the – but if you were to look at Telcel, the interconnection revenues as I mentioned before year-on-year, fell by 50.2%. The non-interconnection revenues increased by 7%.
Gray Powell – Wells Fargo: Okay. Thanks.
Carlos José García Moreno Elizondo: I think we have some on the growth, the growth has been hit a little bit. And the growth’s more on the postpaid side on better handsets (ph), so it’s a little bit more soft softy, this on that. So that’s hit us as well. So it’s a – on the – on that but a – the – mostly it’s going to be on the interconnection on what Carlos is saying, no?
Gray Powell – Wells Fargo: Okay, thanks. That’s helpful. And then just switching topics, margins in Brazil were down just a little bit sequentially. Can you talk about the main drivers there and how should we think about Brazil margins going forward?
Daniel Hajj Aboumrad: Just – just Carlos is going to answer that, but just to say, I think the core EDITDA in Brazil in Claro in the wireless side increased a little bit. So you could see that almost all of that is because of the acquisition cost. So big part in Claro is acquisition cost, so the big growth that we are having, the big growth on phosphate that we are having also, no?
Carlos José García Moreno Elizondo: It’s – that means everything that we have, soon I think it’s a – acquisition cost is important. We are spending more on customer care, so we have more call centers. And then while we have continued to see the increase in the procurement of content which is something that we have mentioned the prior quarter. We have 255% more net debts in phosphate and what we have last year. So I think a big part of that is acquisition cost, no?
Gray Powell – Wells Fargo: Okay, thank you.
Carlos José García Moreno Elizondo: Yes.
Daniel Hajj Aboumrad: One more thing about – on the cost, what – on what Carlos is saying is, we are investing a lot. We had a very good strategy on the customer care center. So it has changed a little bit from what the way we – we attend person two years ago and what we have to do it today, and what we’re going to do it in the future, why because, we used to sell a lot of postpaid voice. And when you sell a lot of postpaid voice, it’s easy because then you sell the handset, they’ve start to talk and it’s very easy for a person to understand that. But when you start to sell data handset and smartphone, it’s really different you have to explain how to do the e-mail. It’s different how to do data. It’s different how to run Internet, how to download these things. So our customer cares contacts spent lot more time with the customers until they learn. I think that’s going to be curve until all the customers in Mexico learn how to do those type of things. So that’s why we are investing more. I think that’s the big value for us to have a good customer care centers by person to do it through personalize or do it through telephone or the other thing that we’re doing it a lot through Internet. So we are investing a lot. We are moving and we have with the strategy for the next two to three years in the – in the contact centers now.
Operator: Your next question is on the line of Stanley Martinez, Legal & General.
Stanley Martinez – Legal & General: Thank you. Good morning everyone. Thanks for taking my questions. I have a couple of questions on the growth in your PayTV business, especially the 800,000 net adds that you had this quarter. First, do you think that you can get to 20 million PayTV subscribers faster than 2013. I mean do you think that you’re growing faster than the market as a whole? And then second, with respect to the EBITDA margins, Brazil was the exception, but in Peru, in Columbia and Chile, your EBITDA margin expansion corresponded to the acceleration in the non-wireless business. So I’m just wondering whether America Movil’s marginal profitability is actually increasing in the PayTV business as you leverage your scale in programming and set-top box procurement. And then last, should I think of this as the PayTV business as a whole as an offset to the decline in your fixed voice revenues? That wasn’t the case in Central America, but how should I think about sizing the opportunity in this product set for you?
Daniel Hajj Aboumrad: Oscar Von will talk a little bit about the TV business now?
Oscar Von Hauske: Sure. Well, we have a run rate of growth in PayTV business around 200,000 by month. So that’s the expectation that we see. Of course we could get a plan to deliver video in Mexico we will could stand more additions. And your assumption allows the expansion of the margins in the other countries. I think something comes from the synergies between America Movil and the wireline business, that allow us to grow more in the revenue generated units. And to aggregate all the volumes, we are getting other costs as you mentioned in the set-top boxes and as well in the content and the cost of the content. In the case of Brazil, we are going very, very fast in Brazil, so the cost of the content is growing more than a 100% and of course as well the revenues. But, we have a lot of costs of – customer acquisitions to enable distribution to the installation of the services and what we expect that PayTV business doing prepaid fast. Did you see the case of Brazil, PayTV penetrations in our view is still very low is around 18% of the households, when you compare with other countries like Argentina or even Mexico. In Argentina 62% and in Mexico is 35%. So we could expect a good market position to grow in Brazil. I don’t know, if you...
Daniel Hajj Aboumrad: And one more thing that I want to add in that. One of the big parts of the cost in the TV is content, okay. And as we grow in content, we’re going to be allowed to have a better cost on that. So these parts of big increase, big share of the increase in Brazil is because the fast-growing PayTV business that we’re having there. But also the cost has been growing a lot so. When you target some amount of cost to make an everyday, you have more and more customers. I think it’s going to be more easy for us to get better prices in the content. I think the volume is going to be very important in the future. So I think we need to work very hard to – to try to reduce the cost of the content. So I think it’s something that we are being working on that now.
Stanley Martinez – Legal & General: Thanks Daniel. Is that breakpoint in terms of profitability with respect to your ability to source content? Is that in some point of business scales to 15 million or is to 20 million. And I’m just thinking about, I know you don’t think of your business that’s where you think on a more integrated basis. But when I look at the growth in your PayTV business Daniel, its look to me is though it’s the equivalent of actually opening up a new country in terms of the traditional wireless business. Is that the right way that I should think about the growth opportunities both in terms of revenue and EBITDA for America Movil in this product set?
Daniel Hajj Aboumrad: I think PayTV is going to be an excellent business I think we have a good opportunity to grow there still penetrations as saying penetrations in Latin America or the PayTV business is low. I think we still have a lot to do and I don’t think that we’re going to see $50 million or $20 million I think what you’re going to see is every day that you grow maybe you reach a little bit more scale and when you reach more scale than you could have better cost. In the other side, in the set-top box and in all of those type of different devices I think we’re having much better prices, so every day I think we are making the TV business more and more profitable but of course it’s not the same to do peaks call or a long distance call then to have a pay-TV business. Now in the other side you have to spent lots of money on content but every day I think it’s getting better and better the profitability.
Stanley Martinez – Legal & General: Okay, thanks very much.
Operator: Your next question is from the line of Mauricio Fernandes with Bank of America/Merrill Lynch.
Mauricio Fernandes – Bank of America/Merrill Lynch: Good morning. Daniel just a quick question this would look like from your net adds in Mexico that not advertising on television has been an issue. So just wondering how you are thinking about it right now after few months without doing advertisement on TV? And second question is on TracFone, we noticed slowdown in net adds, in net additions in the second quarter both if you compare with the second quarter, both if you compare with the second quarter 2010 and then if you compare with the first quarter 2011. Just wondering if you think that the niche that this very high growth rates or net additions that we’ve been seeing in the last many, many quarters has come to slowdown and we’re going to continue to see like that or you – it was just a one-off slowdown? Thank you.
Daniel Hajj Aboumrad: On the first question we’re doing advertising in other places. I think we have a radio, we have magazines, billboards, a lot on media, on the Internet. So it has been some sponsorship, so it has been good for us there. We have been doing well still we’re – that the brand has been very good top of mind. So I think we are not – let’s say its operating about that. We are doing in other broadcast television with a network. So we are targeting and it has been working good for us. So we are using a lot of internal media, so we are happy the way things are been developed in that – in that issue. So in the platform...
Carlos José García Moreno Elizondo: You may recall, typically the second quarter is always a weak quarter because that’s in the U.S. some people have to pay taxes and it has only been very sensitive. So basically every second quarter, I thought I can remember, probably last year looking the case because we had just launched straight of the new plan. And also the new plan was getting a lot of new adds and there was really no chain investment yet. I think for working in this second quarter is partly, its formality, it’s partly the beginning of the churn of the effect of some churn numbers on some of the – which would be natural on some of the bay that we already have. But that’s nothing unusual, nothing that Russell’s (ph) carry forward expectations.
Mauricio Fernandes – Bank of America/Merrill Lynch: Understood. Thank you, Carlos and Daniel.
Daniel Hajj Aboumrad: You’re welcome Mauricio.
Operator: Your next question is from the line of Martín Lara with (inaudible).
Martín Lara: Hey. Hi, good morning. What can we expect in terms of net additions on the consolidated basis during the year? And also in Mexico what ARPU should we expect going forward? Do you think the 155 peso level is sustainable or we should see a better ARPU?
Daniel Hajj Aboumrad: I’m sorry – I’m sorry can you repeat it again. I don’t – we don’t hear you that very well. So can you – can you...
Martín Lara: The total net additions for the company 2011, and the ARPU in Mexico for the rest of the year?
Daniel Hajj Aboumrad: The total net additions, I think we have been higher than the budget which are being – doing I think more than 10 million subscribers this year. So we said that we’re going to have 16, so we’re going to be higher than what we expect this year. Some of the people is saying that we have been – I think Latin America has been very strong in their economy. So being strong in the economies and that will help us a little bit on the growth on the subscribers, mostly on floor space. Floor space has been running very good for us. So I’m happy. And the second question you said, ARPUs on what?
Martín Lara: In Mexico.
Carlos José García Moreno Elizondo: Mexico. What I can tell you is that we have so – we have only had an effect of interconnection rate in second quarter, or part of the quarter since May 17th. So a part of that is going to carry on until the third quarter. I think it’s important to understand that the relationship that we used to have between ARPU and EBITDA does not longer hold because where you are going to have less revenues by interconnection that’s not the percent that (inaudible) than net impact on Telcel. Remember, Telcel has interconnection revenue, but it also has interconnection cost. So one has to focus on the net effect at the level of Telcel, and then furthermore at the level of Mexico as a whole, Mexico. So you will continue to see the slack in gross interconnection revenue and we have some impact on net terms that’s actually on the types of profit that we will see. I think it is important to highlight that the relationship that you have had up until now between ARPU and EBITDA is going to be different from here now on.
Martín Lara: Okay, but the ARPU level?
Carlos José García Moreno Elizondo: I’m saying that the ARPU level is going to come down because the ARPU includes interconnection revenue. Interconnection revenues will be – in the third quarter, but I – does explain the – nothing.
Martín Lara: Okay. Thank you, Carlos.
Carlos José García Moreno Elizondo: Thank you.
Operator: Your next question is from the line of Carlos Sequeira with BTG Pactual.
Carlos Sequeira – BTG Pactual: Hi, good morning. I have a couple of questions, please, one on – in Chile churn rates went up a lot this quarter, and I was wondering, first, the reasons for that and what is strategy into this specifically. And second one would be on Brazil; postpaid net adds are quite strong – have been quite strong over the past quarters and was again this quarter. But this quarter specifically, MOUs came down in Brazil. And my question is – I mean I was expecting the MOUs to have gone up, given how strong postpaid net additions were. So what should we expect in terms of usage and ARPUs consequently in the next quarters given how strong postpaid net adds are? Thank you.
Operator: Your next question is from the line of Andre (inaudible)...
Carlos José García Moreno Elizondo: Now wait, wait. We still need to answer this one.
Daniel Hajj Aboumrad: Carlos. Hello.
Operator: Your line is open.
Carlos José García Moreno Elizondo: Carlos Sequeira.
Carlos Sequeira – BTG Pactua: Yeah, is here.
Carlos José García Moreno Elizondo: Okay. Sorry, can you report very quickly the questions?
Carlos Sequeira – BTG Pactua: The first one is in Chile, churn rates went up a lot and so my question is –
Carlos José García Moreno Elizondo: Now, in Chile – let me talk a little bit about Chile. I think in Chile we have been doing very good in terms of gross adds. We have been having some promotions that having worked so well, so we have been very close in that market and that some of the customers have become churned. But I think in Chile we are gaining market share, we are being strong in the distribution side, strong in the – much better in the postpaid. I think in the postpaid we are doing much better in the postpaid, I think in the postpaid we’re doing much better than what we used to do last year. So we have a big increase. In Chile, still we need to work a little bit in some promotions because some of those promoters are giving us some churn but we are aware of that and we’re working on that. It’s not going to be from one quarter to the other one but we think that we can return to the level of churns that we have all around in Latin America. Now that’s something that we have been working on that.
Carlos José García Moreno Elizondo: In the case of Brazil MOUs, I think they are directly linked to some prepaid promotions. And basically we introduced a new promotion that is essentially encourages more the actual continues purchase of you’re calling big balances of menu that you can consume and it does have a good effect both on revenues and it’s not has such an impact on profit. So that’s basically the transition from – one type of our promotions on prepaid another type of promotions.
Carlos Sequeira – BTG Pactua: Okay. Thank you.
Carlos José García Moreno Elizondo: Thank you.
Operator: Your next question is from the line of Andrés Medina Mora with GBM.
Andrés Medina Mora – GBM: Thank you. Good morning Carlos and Daniel. My question is regarding postpaid subscribers. What percentage of your subscriber base? Do you see these – do you see them reaching by the end of 2012 or 2011? And also we heard Telmex mentioned yesterday that they are investing a lot of (inaudible). How much synergies of that could Telmex’s make given that they are still the best companies between them? Thank you.
Carlos José García Moreno Elizondo: I think we have to do a lot of synergies we work as a separate company but we can do a lot of – of synergies in the backbone, in the backhaul in prior to the note. I think that we are working on that. We have 60% of the company, but we’re working very close to them, but we are selling as commercial agreements that allow us to do those types of things, no? So that’s mainly what we’re doing. The other question was?
Andrés Medina Mora – GBM: (Inaudible).
Carlos José García Moreno Elizondo: I don’t know exactly what’s going to be at the end subscriber base in 2012, but what – you could see the same trends that we have been having the first six months. I think it’s more or less what we could – you could see the second half of the year.
Daniel Hajj Aboumrad: And I think increasingly, one thing that we have over here is that increasingly postpaid market is going to be about data services. And I think that we have been strengthening our capabilities on data across all of our operations. As Daniel mentioned before, we are working on backhaul, working on backbones, we are really buying the latest equipments. We are having very, very good practice for smartphones. So I think that we are positioning ourselves very well in the data service market and that is going to be a critical element for postpaid.
Carlos José García Moreno Elizondo: Also one comment on that. I think to do data service is not only to say, is you have to have good handsets, you have to have good value added services, you have to have a very good network, you have to have very good coverage. So you have to work in a lot of things to have a good increase in data, and that’s what we are doing all around Latin America. So it’s not only to have an smartphone and sell the smartphone. It’s much more than that. It’s the investments on those things. Also, as we are saying, in customer care center. So you have to do a lot of things all around to have more postpaid, but those postpaid to work with data and work with a lot of value-added services that we’re selling all around Latin America. So there is a big job, there is a huge strategy that you have to execute, and that’s what we are doing at – right now?
Carlos José García Moreno Elizondo: Great, thank you.
Daniel Hajj Aboumrad: Well, Michel, I think the last question.
Carlos José García Moreno Elizondo: Yeah. Nateda is there another question in the queue?
Operator: Yes. There is a question from the line of Walter Piecyk with BTIG.
Walter Piecyk – BTIG: Thanks. Carlos, I didn’t really understand that explanation on the Brazil I know use that, I’ll follow up with Daniel online. But I guess, if your prepaid promotions, I’m not sure how that drives your minutes down, when that do the opposite. Anyway, the question is, are you guys – for Daniel, are you guys planning on bidding on the auction in Brazil for, I think its 2.5 and 3.5 big spectrum.
Daniel Hajj Aboumrad: (Inaudible) Again, the last question on Brazil and what....
Walter Piecyk – BTIG: Are you guys – I think there’s probably going to – the hope you get an auction off at some point, probably not until next year, but I think (inaudible) you get the auction off in 2.5...
Daniel Hajj Aboumrad: For spectrum?
Walter Piecyk – BTIG: Yeah, for spectrum in Brazil, are you guys planning on bidding in that spectrum in that auction?
Daniel Hajj Aboumrad: 2.5, I don’t know if the – I don’t think – I think let’s see how does the valid one evolve on the 2.5, but that still, at this moment, I think we prefer order frequencies than the 2.5, but I need to check and we need to see...
Walter Piecyk – BTIG: Okay.
Daniel Hajj Aboumrad: What are the technologies that are going to develop in those three 2.5.
Carlos José García Moreno Elizondo: Walter, before you talk to Daniel, it is related to new traffic that you can have in the length of a call. You have certain calls that were...
Walter Piecyk – BTIG: Yeah I understand. Thanks.
Carlos José García Moreno Elizondo: Right, okay? So you can follow up with Daniel, anyway.
Walter Piecyk – BTIG: No, no I understand, that’s a better explanation. Thank you. And then the other question, Carlos, a lot of operators throughout the world are disclosing the percentage of their subscriber base that has smartphones. I may have missed this, are you guys – have you guys done – or can you give us some sense of what that is, either on a total company basis or in Mexico or Brazil?
Carlos José García Moreno Elizondo: We have been disclosing the growth on data; we have not been disclosing the amount of handsets. But I don’t know. I need to check. I – it’s because of competition issues, but I don’t know what – let me...
Walter Piecyk – BTIG: Can you just give us a good sense of what your growth opportunity is – if you could provide that?
Carlos José García Moreno Elizondo: I think more or less we have 15% of our base in postpaid. So today it’s growing, so I don’t know exactly what amount of those postpaids are smartphones and that they are using data. I don’t have it in my mind right now. But what we are targeting is to have all our postpaids with smartphone and with data. And don’t forget prepaid. Prepaid is going to be like – even that they are going to use a small amount of data, there is going to be a lot of customers there. So we are planning to give data to also these customers.
Walter Piecyk – BTIG: And my last question, just – is just related to that. I mean, you said earlier on the call, it’s important to have cheaper handsets. I mean, you guys have a good relationship with AT&T; you’ve seen the success that they have had in selling the iPhone 3GS at a low price...
Carlos José García Moreno Elizondo: We are doing that exactly – I think that’s something we are selling in Mexico. We are doing very well, and...
Walter Piecyk – BTIG: So why not in Brazil?
Carlos José García Moreno Elizondo: Not only the Apple, the iPhone, we are also having other promotions that have been very successful in Mexico and in Brazil, Latin America.
Walter Piecyk – BTIG: (Inaudible) Brazil.
Carlos José García Moreno Elizondo: In Brazil – you know, the problem in Brazil is I think that’s for iPhone...
Walter Piecyk – BTIG: Right.
Daniel Hajj Aboumrad: That’s been – that’s like by doing promotions...
Walter Piecyk – BTIG: But I think Tim, but Tim has been selling us 3GS and obviously the tax rate make it expensive, but it’s a lot cheaper than and buying an iPhone and iPhone 4.
Daniel Hajj Aboumrad: No, I don’t know – I don’t know that, but I’m going to check, it’s a good comment. Thank you.
Walter Piecyk – BTIG: Okay great. Thank you, guys.
Daniel Hajj Aboumrad: Thank you.
Carlos José García Moreno Elizondo: Thank you, Michel.
Michel Morin: Thank you everyone again Daniel, Carlos, Daniela, and Oscar thanks for hosting the call here today.
Daniel Hajj Aboumrad: Thank you. Thanks everybody.
Operator: This concludes today America Movil second quarter 2011 conference call. You may now disconnect.